Operator: Good afternoon. My name is Tamika, and I will be your conference operator today. At this time, I would like to welcome everyone to Toast's First Quarter 2025 Earnings Conference Call. Today's call will be 45 minutes. I'll now turn the call over to Michael Senno, Senior Vice President of Finance. You may begin your conference.
Michael Senno: Thank you, Tamika and welcome to Toast's earnings conference call for the first quarter ended March 31st, 2025. On today's call our CEO and Co-founder, Aman Narang; and CFO, Elena Gomez, will open with prepared remarks, which will be followed by our Q&A session. Before we start, I'd like to draw your attention to the Safe Harbor statement included in today's press release. During this call, we'll make statements related to our business that may be considered forward looking within the meaning of the Securities Act and the Exchange Act. All statements, other than statements of historical facts, are forward-looking statements, including those regarding management's expectations of future financial and operational performance and operational expenditures, location growth, future profitability and margin outlook, business and investment strategy, expected growth, and business outlook, including our financial guidance for the second quarter and full year 2025. Forward-looking statements reflect our views only as of today, and except as required by law, we undertake no obligation to update or revise these forward-looking statements. Please refer to the cautionary language in today's press release and our SEC filings for a discussion of the risks and uncertainty that could cause actual results to differ materially from our expectations. During this call, we will discuss certain non-GAAP financial measures, including but not limited to, non-GAAP subscription services gross profit and non-GAAP financial technology solutions gross profit, which we refer to collectively as our recurring gross profit streams. These are the basis for our top-line guidance. These non-GAAP measures are not intended to be a substitute for our GAAP results. Please refer to our earnings release and SEC filings for detailed reconciliations of these non-GAAP measures to the most comparable GAAP measures. Unless otherwise stated, all references on this call to cost of revenue, gross profit and gross margin, sales and marketing expense, research and development expense, and general and administrative expense are on a non-GAAP basis. Finally, the press release can be found on the Investor Relations' website at investors.toasttab.com. After the call, a replay will be available on our website. With that, let me turn the call over to Aman.
Aman Narang: Thank you, Michael and thank you everybody for joining us this afternoon. We've had a great start to the year with results ahead of expectations. In Q1, we added over 6,000 net locations, our recurring gross profit streams grew 37% year-over-year, adjusted EBITDA grew to $133 million, and our GAAP operating income was $43 million. Our mission at Toast is to help restaurants delight their guests, do what they love and thrive. We power approximately 140,000 customers locations globally, and we continue to believe we have a much larger opportunity to serve many multiples of that number over the next decade, both by growing share in our core U.S. SMB market as well as accelerating growth in our new geographies, new verticals, and in enterprise. In Q1, we saw strong momentum in our bookings across all of our market segments, including marquee wins in Applebee's and Topgolf that speak to our ability to serve large complex operations at scale. While we're paying close attention to what's going on in the macro environment around us, we remain confident in our ability to execute. The momentum we've seen to start this year gives us confidence we should see record net adds in Q2. And as such, we have raised our 2025 full outlook based on our performance. Let me share a brief update on the four priorities I laid out for the business to start the year. The first, scaling locations and market share in our core U.S. restaurant business; second, demonstrating that our new markets can be material drivers of growth; third, increasing customer adoption of our broad platform and driving differentiation through data and AI; and lastly, continuing to hold a high bar and investing against our most important priorities while gradually expanding margins. So, first, scaling locations and market share in our core U.S. restaurant business. We continue to see strong momentum at scale within our core U.S. SMB segment, which is driving the majority of our growth. Our recipe continues to be at the intersection of a vertical platform approach combined with a differentiated in-market go-to-market team. This drives strong win rates where we win a majority of the time across all of our key competitors. We grew locations in essentially all of our markets across our SMB TAM versus last year and our flywheel markets continue to see above-average rep productivity. Sales AE productivity across new bookings was up in Q1 year-over-year, which is what is giving us confidence into Q2 and the balance of the year. The product and engineering teams continue to leverage both customer and sales feedback to prioritize the road map needed to support durable location growth in our core segment over the long-term. This includes investments in the thousand little things that differentiates our platform for restaurants. including things like language support for non-native English speakers, memberships for businesses like wineries and clubs, as well as more complex eatertainment concepts, including one of our newest customers, Topgolf. If you have been to a Topgolf location, you'll know that Topgolf pairs its leading modern golf entertainment experience with a full-serve restaurant and bars. They wanted a POS partner that could deliver seamless hospitality to guests across their entire operation at scale. Guests want to be able to order and add to their check quickly without disrupting their golf game. And our handhelds help them take orders and payments at the golf bay, our KDS streamlines kitchen operations, and our above store multi-location management tools help them track and manage all aspects of their operation centrally. We're really excited to partner with an industry-leading concept like Topgolf, a customer that really speaks to the versatility of the Toast platform. Next, moving on, our second priority is demonstrating that our new markets can be material drivers of growth. As I mentioned to start the year, we expect to cross 10,000 locations across international, food and beverage retail, and enterprise in 2025, and we remain on track to do that. We continue to build out the platform to support the broader TAM across these exciting new segments and have key proof points that speak to our progress. In enterprise, we recently announced Applebee's, part of Dine Brands, which is our largest win in terms of committed locations. Applebee's wanted a platform that was both easy to use and easy to deploy across their operation. They're leveraging our handhelds to improve guest experience, kitchen display screens to drive kitchen efficiency, as well as our above-store enterprise management suite. In food and beverage retail, we're taking the same vertical approach that works so well in restaurants to build out the retail platform, including recently added inventory linking to support more advanced customers. One of those retailers is Beer on the Wall. This is a three-location bottle shop and beer café, Illinois. They've got a full retail operation and manage nearly 10,000 SKUs with Toast Retail, but that's complemented by a cozy bar that's almost like a coffee shop. Managing inventory at Beer in the Wall used to take over 60 hours a week and required someone to add and manage items separately across the three locations. And since switching to Toast, they've been able to eliminate nearly 40 hours of work weekly since one person can manage it across their entire business by leveraging our advanced inventory capabilities. The staff loves how efficient and easy-to-use Toast is across both front-of-house and back-of-house tasks. And lastly, in international, we continue to see great momentum as well. We've expanded our offering to include loyalty, e-mail marketing, and guest book. Our expanded guest products are resonating with international customers with guest attached doubling over the past year for our most recent locations that went live. We're confident that ARPU will continue to scale internationally as we launch more of the platform and grow adoption. It's still early days, and we have a long runway ahead of us, but I'm excited about the progress we've made this quarter across these new segments. Each of them represents a significant growth opportunity for us, and we will continue to invest in our product and our go-to-market capacity to accelerate growth. I'm more bullish than I've ever been that these new market segments will represent a material part of our location growth over the long-term. Next, our third priority is to increase customer adoption of our broad platform and drive differentiation through data and AI. From day one, our vertical focus on restaurants has helped us build a differentiated platform that not only serves this broad market from small coffee shops to Michelin-rated restaurants, but also allows us to build an all-in-one platform that works better together. We continue to see increasing attach rates across many of our products. and see AI as a unique opportunity to accelerate this growth. Last spring at our Investor Day, we announced Sous Chef, our AI agent that -- an assistant that supports restaurant operators. It's currently being piloted with customers with promising early results, and we're continuing to improve it based on customer feedback. We expect Sous Chef will be an operator's companion driving business insights across their data, troubleshooting common issues, and executing actions to help manage all aspects of the business from menus and ordering to employee management and scheduling to managing their digital presence and marketing. We're also building on Sous Chef with a broader AI-powered intelligence engine we're calling ToastIQ, with features that combine our restaurant expertise, data, and AI to make our products even more powerful for our customers. To bring this to life with an example, one of our early customers, Mission Boat House in Beverly, Massachusetts, saw approximately 6% higher average order volume in the first weekend after adding our new menu upsell tool powered by ToastIQ, a boost that's having a real impact on server tips as well. And our digital tip tool, which pulls key guest data directly into the POS and handhelds is an important step towards creating highly personalized in-store experiences for guests. A second example is Felipe's Taqueria, who is using our AI-powered advertising tool to run Google Ad campaigns for six of their restaurant locations and are seeing over 10x return on ad spend. As you know, restaurant operators are strapped for time and AI presents a unique opportunity to make our platform both easier to use and more powerful across a range of use cases. We're really early in this journey and we'll continue to invest here to both differentiate our platform and bring increasing value to our customers. Shifting gears, our fourth priority here, lastly, is to continue to hold a high bar and invest against what's most important, while gradually expanding margins. In Q1, we achieved our medium term margin goals we laid out at Investor Day ahead of our target, and our updated full year guidance now firmly reflects that. It's been a great start to the year. I'm so proud of the team's ability to drive both strong growth and healthy margin expansion. As I said at the start, I'm confident in our and our customers' ability to navigate a dynamic macro environment. We believe we're well-positioned to have a strong year while continuing to invest against what's most important. To wrap-up, I want to thank the Toast team for another great quarter. We wouldn't be here without you and your dedication and your passion that goes without saying. Thank you as well to our customers and our investors for continuing to believe in us and our potential. We've got a great opportunity ahead of us, a strong plan in place, and most importantly, the right team to get us there. Now, I'll turn the call over to Elena to share more details about the quarter.
Elena Gomez: Thank you, Aman and to everyone for joining. To start, I would also like to thank our employees whose continued execution across the business led to another strong quarter with top and bottom-line results exceeding expectations. In the first quarter, ARR grew 31% and total fintech and subscription gross profit, our recurring gross profit streams, increased 37% year-over-year. Adjusted EBITDA was $133 million for the quarter, with margins expanding 13 percentage points year-over-year to 32% and GAAP operating income was $43 million. We increased our outlook for the full year, reflecting our strong first quarter. Consumer trends remained stable through early May. We are closely monitoring the macro environment and are well prepared to manage through any scenario as we execute on our priorities in the year ahead. And we're confident restaurants will remain resilient while navigating this dynamic macro environment as they have in the past. In Q1, we added over 6,000 net locations, up relative to net adds in Q1 last year. At the end of the quarter, total locations was approximately 140,000, up 25% year-over-year. We're deepening our penetration in the core and as you heard from Aman, gaining momentum across all our verticals with exciting recent customer additions like Applebee's and Topgolf. Based on the momentum we have to start the year, we're set up to increase location net adds year-over-year in 2025 versus 2024 and are tracking for a record quarter of net adds in Q2. At only 10% of our 1.4 million location TAM across the customer segments we currently serve and with a significant opportunity to expand our TAM over time, we have a lot of confidence that we will serve multiples of our location count over time. SaaS ARR grew 32% year-over-year, driven by strong location growth and a 5% increase in SaaS ARPU on an ARR basis. Subscription revenue increased 38% and gross profit grew 45%, benefiting from the improved ARR to revenue conversion we discussed last year. We expect subscription revenue growth to return to more normalized levels in the second half of the year. Payments ARR grew 31% and fintech gross profit increased 32% in the first quarter. GPV was $42 billion, growing 22% year-over-year with GPV per location down 3% versus last year. While we expect total GPV will follow the typical strong seasonal pattern in Q2, we anticipate GPV per location will remain down in a similar range on a year-over-year basis. Net take rate was 59 basis points. Payments net take rate was 48 basis points, up 3 bps from a year ago from ongoing cost optimization efforts and targeted pricing moves we made last year. Non-payment fintech solutions led by Toast Capital, contributed $47 million in gross profit. Toast Capital continues to perform well. We're seeing solid growth in originations and defaults remain in line with our expectations. As a reminder, Toast Capital serves an important need for our customers, providing fast, efficient access to capital. Our insight into the health of our customers gives us this unique ability to assess credit quality and make underwriting decisions. We are confident in our ability to manage the risk associated with Toast Capital and expect Toast Capital's contribution to net take rate to remain in the 10 basis points range. Moving to expenses. In Q1, operating expenses, excluding bad debt and credit-related expenses increased 12%. This primarily reflects a 25% increase in sales and marketing expenses from investments to grow our sales rep across core, international, and retail plus support our brand marketing campaign. R&D and G&A, excluding $22 million of bad debt and credit-related expenses were essentially flat. Adjusted EBITDA was $133 million with a margin of 32%, achieving our medium-term margin goal of 30% to 35%, well ahead of target. The strong Q1 results reflect a healthy top line growth and solid execution, along with our commitment to prudently scale the business while investing in our growth areas. Free cash flow was $69 million. Free cash flow is seasonally lower in Q1 compared to the rest of the year due to the timing of cash bonus payments and seasonality of GPV. We expect free cash flow to broadly mirror adjusted EBITDA for the full year. We repurchased $17 million in shares in Q1 and remain opportunistic based on market conditions. Turning to guidance. For the second quarter, we expect total subscription and fintech gross profit to grow in the 26% to 29% range year-over-year and adjusted EBITDA to be $130 million to $140 million. As a result of our strong start to the year and continued momentum across the business, we raised our full year outlook. At the midpoint, we now expect 26% growth in fintech and subscription gross profit and $550 million in adjusted EBITDA, a margin of 31%, up 5 percentage points versus 2024. Our guidance factors in stable consumer trends as well as a slightly higher tariff expenses related to our hardware. Overall, we are on track for another year of strong top line growth and expanding profitability, while continuing to invest in our highest priority long-term growth initiatives. To wrap-up, we are executing across the board and are confident in the large opportunity ahead of us. We remain focused on positioning the company for durable growth by sustaining our momentum in our core and growing the contributions from our new growth curves to drive long-term value. Now, I'll turn the call back over to the operator to begin Q&A.
Operator: [Operator Instructions] Your first question is from the line of Timothy Chiodo with UBS.
Timothy Chiodo: Great. Thank you for taking the question. I want to see if we can talk a little bit about the payback periods on some of these large enterprise wins. So, oftentimes, we look at a lot of metrics on a per location basis. But speaking to something like an Applebee's, for example, big 1,500 wins, it's fair to assume that the unit economics on a per location basis at that scale are going to be lower. But maybe you could talk a little bit about the sales and marketing spend and the resources that go into winning a customer like that? And how -- when we look at the payback periods, how they might compare to the payback periods that you see overall, which I believe the most recent update was in roughly the mid-teens in terms of months?
Elena Gomez: Yes. Great question. Thanks Tim. So, first, I just want to say we're incredibly excited about having Applebee's join the Toast family and the platform, really great execution on the team and really just builds on the momentum we've had serving larger customers, and it's a result of all the investment we made in the product to serve this segment. So, we feel really good about that. And to the point you're making, we do manage the business on total payback periods and unit economics. We're most focused, obviously, on ARR growth. And we manage to that mid-teens, as you mentioned. For enterprise deals, we look at deals on a deal-by-deal basis. And because the ARR booked in these deals is so large, the paybacks are very attractive. So, that's the big point there is that these deals tend to be much -- pretty significant deals. And then we look at LTV to CAC as we do for all of our segments. And that's often quite healthy because, as you can imagine, the churn for enterprise customers tends to be lower. So, all-in-all, really pleased with how we manage the enterprise business. And in this particular deal, ARPU is very healthy as well. So, overall, enterprise, I view as a very healthy business for us to continue to grow.
Timothy Chiodo: Thank you, Elena. And the minor follow-up is, I believe the vast majority, all but maybe one or two of your enterprise signings thus far have been attaching payments. Is that still generally the trend and the expectation?
Elena Gomez: Yes. No, that's right. The majority of our customers attach payments. And even when payments are not in the deal, the economics are still attractive.
Timothy Chiodo: Excellent. Thank you for both of those.
Operator: Your next question is from the line of Darrin Peller with Wolfe Research.
Darrin Peller: Hey guys. Thanks and nice job. Maybe you could just start off revisiting again how you see the macro trending, just a little more on what the company is seeing from a same-store sales perspective and just new business formation and maybe build that into the degree of conservatism potentially embedded in guidance just given the rate of growth you just showed us versus the outlook going forward relative to cyclicality? Thanks guys.
Aman Narang: Thank you, Darrin. So, I think if you look at same-store sales and consumer trends, they remain stable year-to-date, and they've been in line really with the last few quarters. And one thing that's given us confidence in Q2 and the record net adds we talked about was our sales productivity, our AE productivity is actually up year-over-year. New business formations are also stable. And so I think that's really what's giving us confidence in our outlook in terms of net adds this year. And in terms of guidance, maybe Elena, can talk.
Elena Gomez: Yes. No, I'll to Aman's point, we've got a lot of momentum exiting Q1 and into Q2, which has given us that confidence to raise our outlook. And at the end of the day, we feel very optimistic that we have the ability to manage on the things we can control. We're mindful, of course, of the macro. And we're planning, as I said in my script, for the continuation of the trends that we've seen, but confident to manage our guidance through really a range of macro outcomes. So, feeling really good we can navigate the backdrop we're in.
Darrin Peller: Yes. That's great. And just a quick follow-up would be around pricing. You guys have clearly demonstrated strong attach rates driving your ability to have pricing where value add is offered. Maybe just talk about what you're seeing now and more importantly, in a different kind of macro, do you still see that as an opportunity? Or do you have to be more careful on that front? Thanks guys.
Elena Gomez: Yes. It's actually a very fair question. Look, at the highest level, as you know, ARR is our North Star, and it's really -- our growth algorithm is really focused on growing locations and product attach. Pricing is a small lever. And I think we have to take a very balanced approach in this macro, obviously, and be conscious of what it feels like to be a customer during this macro. And so we got to balance sort of doing the right thing for our customers, but also making sure we hit our plans, and I'm confident we can do both very well.
Operator: Your next question is from the line of Stephen Sheldon with William Blair.
Stephen Sheldon: Hey, thanks for taking my questions. First, just an update. It would be great to get an update on the potential timing of a broader rollout of AI solutions like Sous Chef and ToastIQ. Continues -- I continue to think those solutions could be really impactful to clients. It sounds like they're performing well in some pilots. So, how are you thinking about the potential monetization as you roll them out? Would it be more of an upsell with a separate or additional module or more about being included with core solutions and supporting -- adding those capabilities supporting pricing uplift over time?
Aman Narang: Yes. Thanks Stephen. Look, I'll start by saying it's really early with a lot of this, but it's like very clear that AI is going to have a big impact on our business and our industry. And we're working hard to lay the groundwork to really AI enable the whole organization, first and foremost. And this is even before we get to customers, like things like how we work and how we build software, how we support customers, G&A, sales and marketing, there's a lot there. It's very clear that we have to get ahead of to be an AI-first company. On the customer front, I think the thing that to keep on going back to is our restaurants customers are not tech savvy. They're shop for time. And so we have to help them understand how these tools can actually create value and so the team is really focused on that. So, you look at this ToastIQ release, it's all about like this is the intelligence engine that every Toast product will leverage over time. And so some of the examples I shared earlier, like one was you're starting to see some of these customers check size increasing with our AI-enabled upsell module or with our AI-enabled marketing campaign, we're starting to see not only restaurants generating demand through e-mail text and the AI generation is by the Gen AI that's generating these campaigns for you. We're starting to see productive ad campaigns on Google and social. So, really good to see some early signals of customer impact, but still early. And then on Sous Chef, the way to think about it is this is like a restaurant copilot. It's like a data feed and a chat-based tool that our customers and our support team can use. And so it helps you with things like insights about your business. Just an example would be like it might tell you like Mondays and Tuesdays, your sales forecast is off and you're not profitable or it might say, here are some items that keep going out of stock or like, keep--. And then on -- the other thing that we're doing is we're building out the language interface where Sous Chef can be the thing you can use to talk to the Toast back end. So, think about like I want to 86 an item or turn off delivery or reset my timer [ph]. It's really powerful to have an interface like Sous Chef we can talk to and actually manage the back-end config. And so really focused at the highest level on just driving customer impact with AI and building an AI-first culture. And if we can have customer impact, like I think we're really confident monetization will follow over time. But right now, I think it's early and the focus is on really driving customer impact.
Stephen Sheldon: Got it. Makes sense. Thanks. And then just a quick follow-up. It would be great to just get an update on the international traction. And specifically, are there commonalities on the types of locations you're winning in Canada, U.K., and Ireland? And are there any early signs you're seeing a positive referral or word-of-mouth activity picking up?
Aman Narang: Yes, Stephen, I think if you look at the traction we're seeing internationally, it's -- in some ways, it's very similar to the early days of Toast here in the U.S., where if you look at our average GPV per location in the U.S., it's higher than industry averages, we see something similar internationally as well. And the progress has been really strong. We're -- as I mentioned, we're ahead of plan across all of our segments. Customer sentiment continues to be strong. We're building out really internationalizing the full platform. And in terms of network effects, like at the highest level, Toronto or London, they're not fundamentally different than Boston or New York. And so what we have to do is there's so many markets that whether it's in North America, Western Europe, Australia, New Zealand, a few others where it's GPV per location is healthy. And so our focus is really on replicating the playbook we've got in the U.S. And I think in terms of like your question about are we seeing a referral channel, it's -- the truth is like it's still early. You go to these markets and while we've got great early traction, it's still not the same thing as what you're seeing in the U.S. And so I think we'll see that over time.
Stephen Sheldon: Great. Thanks and really nice results.
Aman Narang: Thank you.
Operator: Your next question is from the line of Dominic Ball with Redburn Atlantic.
Dominic Ball: Hi everyone. Hi Aman, Elena, and Michael. Great set of results. You clearly demonstrated Toast's ability to fend off competition from cloud-native POS systems, shall we say. But DoorDash, which is a partner and now maybe an emerging competitor has sort of relaunched its POS system. They're also acquiring seven rooms to deepen their hospitality software suite. How do you find this progression as some partners become more like direct competitors? And does this push Toast to invest a little bit more into local like Toast?
Aman Narang: Yes, I think great question, Dominic. Look, our strategy and it has literally been this vertical strategy from day one is to build the world's best platform for restaurants. And we continue to believe there's a ton to do, right, to continue to not just rest on our laurels, but continue to build out the platform. And look, it's been working so far. You've seen our consistency in our execution. And what the R&D and the platform team and the product team is focused on is just as we've led the way over the past decade with our platform, whether it's the all-in-one cloud, handheld, some of our guest products, increasingly data and AI, we have the same mentality where we're not going to -- we're going to continue to invest to differentiate and build out the platform. And then on your question on local, I think our local strategy is really independent of what others are doing. We're leaning into what we think we can uniquely do well, which is to bring guests in store. And so that's where as we think about all the ways in which we can do that, that is specific and distinct to our platform and the things we can do there. And so we continue to do that, but that's independent of what the market is doing.
Dominic Ball: Sounds great. Thank you.
Aman Narang: Thank you.
Operator: Your next question is from the line of Rayna Kumar, Oppenheimer.
Rayna Kumar: Hi, great results here and thanks for taking my question. So, if we were to enter a steeper recession, can you talk about how you would expect to manage your cost base versus continuing to invest in the business?
Elena Gomez: Yes. Thanks, Rayna. Great question. So, we've navigated through very dynamic times in the past, including COVID. And as we said, we haven't seen a change in consumer trends so far. And we know restaurants have proven to be resilient through really a range of macro scenarios. And so when you think about that, that's the context that we operate in. But of course, if we did see pressure in the business, we've been decisive in the past when we're faced with a downturn, and we pulled back spending in areas that are non-revenue generating. And we really be balanced in that, right? We want to make sure we think about this business over the long-term as well. So, we'd be balanced. But overall, I think this team is ready to navigate under any scenario, and we'll be decisive in doing so. confident we can navigate.
Rayna Kumar: Appreciate it. And as a follow-up, are there any opportunity for Toast to service other dine-in brands like IHOP?
Aman Narang: We are absolutely exploring. Look, our enterprise team, the one of the things that's exciting is that the pipeline that we see across enterprise has never been stronger. Just as we're getting more proof points, I think it's getting the word out and it's also helping us continue to get more interest. And so certainly, I think we continue to see great opportunity. On IHOP specifically, to your question, that's the current deal is for Applebee's, just to be clear.
Rayna Kumar: Understood. Thanks for the color.
Aman Narang: Yes, thank you.
Operator: Your next question is from the line of Andrew Bauch with Wells Fargo.
Andrew Bauch: Hey, thank you for taking my question. Nice set of results here. I want to revisit the enterprise win with Applebee's and across a couple of vectors, I guess, number one, can you help us understand the pitch? Is that -- I mean, I'm sure it's a combination of driving further growth for them, but also being more efficient. I guess any kind of like KPIs you can provide there? And then my follow-up would be, this is a segment of the market that many investors who were skeptical thought that you guys couldn't actually win. So, how do you kind of see this being an anchor tenant for these large chains and enterprises? And are you having additional conversations with more Applebee's-like restaurants today?
Aman Narang: Yes, absolutely. We are -- I think as I just mentioned, our enterprise pipeline has never been stronger. And so we are absolutely having conversations with many, many brands. And as we get more and more proof points, right, it's not just about Applebee's, you look at Marriott and Hilton and Choice Hotels and then you've got Perkins and Potbelly and there's -- I don't have all of them on top of my finger, but if you look at the list, Applebee's is just one among many as we've been growing our platform upmarket. And I have a lot of conviction as you think -- zoom out and think about the next decade with the way we're investing in the platform and that this is a part of the market that will be available to us for sure. And then to your question about like why did they buy specifically, I think Part of it is you think of it if you -- Applebee's concept has got a big footprint. And one of the things they loved about it is our industry-leading handheld ToastCo [ph] device because you can take orders and payments to the table, it helps them with check size, tips, turning tables faster. So, that's one of the motivators. All of our kitchen management and KDS tools is another area where they want to modernize and then our above store management, right? And so in fact, in the Applebee's case, we're actually replacing an in-house solution that they were managing. And so the value prop is really, as you go upmarket, it often starts with in-store, like within the four walls of restaurants, like Toast -- some of the benefits we provide in SMB apply into enterprise. And then as we're building out the above-store capabilities that we've talked about in the past, like more of the market becomes available to us. But to your point earlier, absolutely, we believe long-term, this is a -- this is a meaningful opportunity for us for growth.
Andrew Bauch: Great. And then just a quick follow-up for me. The software ARPU strength, was particularly strong in the quarter. I know that the conversion dynamic is a part of it, but anything else around attach or other that's driving that strength there into the double-digits?
Elena Gomez: Yes, it's a great question. Look, I think at the highest level, the team is executing well. And as you know, we really focus on ARR as sort of the long-term metric that we're looking at in the business. So, really pleased with the results and also really thinking about long-term market growth and the many levers that we have to grow that over time, but really good execution on the team.
Andrew Bauch: Great results.
Aman Narang: Thank you.
Operator: Your next question is from Josh Baer with Morgan Stanley.
Josh Baer: Thanks for the question and congrats on a great quarter. I did want to come back to ToastIQ as a follow-up to the earlier question. I mean, I definitely heard the answer. I understand it's very early. But are you able to talk a little bit about the go-to-market or philosophy around pricing? I mean there's a lot of -- anecdotally in the press release, like the value is overwhelming. There's a lot of different products even embedded in ToastIQ. So, any more context there would be helpful.
Aman Narang: Yes, Josh, I mean, I think not really on pricing, if I'm honest. Like the focus -- and we'll certainly keep you up to date as things develop. But if you look at these products, first of all, you look at AI to begin with, and it's moving so quickly. I feel like every quarter, things are changing and the tools are getting better and better. And so I think our team is very focused on making sure that we are helping our customers, first and foremost, like stay up to date with the trends in AI and trying to find ways to create impact for them. And so I think it's great to see the early impact of some of these case studies we're sharing, but we've got to -- these are not products at scale that are -- it's still early. And so we have to be -- we have to prove this out to the next level of scale. And I think certainly, like there's no question that if we continue to see these patterns, like monetization will be an opportunity for us. If we're helping restaurants -- look, at the end of the day, we're helping them with things like check size, if we're helping them with the guest experience, if we're helping them with sales forecasting, if we're helping them driving demand in restaurants, you think of like how many restaurants have all these open seats and there's no tools to help them actually bring guests in when they're slower. And so there's a lot of things we're looking at. And as we start to see impact, we'll certainly look at monetization as well. it's not a perfect answer for you on pricing, but where we are.
Josh Baer: No, I appreciate it, Aman. And just wondering, as you start stacking up these enterprise logos with all the momentum there, if you're seeing any reaction or anything different from legacy vendors? Thanks.
Aman Narang: Not really, not really. I mean I think we're focused on executing. We know like there's no shortage of things that our R&D team has to do to build out the platform upmarket. And I think that's what's driving our focus because a lot of what we're doing across the platform to support, whether it's SMB or retail international actually applies upmarket and enterprise as well, think of the broad platform. And so as we build out some of the capabilities upmarket, we believe we can have a differentiated offering.
Operator: Your next question is from the line of Dan Dolev with Mizuho.
Dan Dolev: Hey thanks guys. Nice results here. I'd be curious on the confidence you have on the second quarter location number and how we should think about it in the face of the macro. So, any sensitivity to that would be great. And maybe just anything kind of -- is this like enterprise mix rolling on or other things? Just more color on that location would be amazing. Thank you so much.
Aman Narang: Hey Dan. So, I'll start with our core business. In our core business, as I mentioned, the AE productivity was up year-over-year in Q1 and really through April as well. And so that's what's driving the confidence in our core business. And in these new segments, it's -- we've got aggressive goals because in terms of growth, and we're seeing results ahead of expectations. There's nothing in the enterprise rollout. You can imagine we have such scale in our core business that certainly, these wins are great. But at the end of the day, the core is still driving the majority of the growth. And so the mix, even if there's any changes in terms of across them, it's very, very gradual.
Dan Dolev: Got it. Great. And then maybe a quick follow-up. I noticed that the take rate ex capital moved up a little bit. Can you maybe -- is this just mix? Or is there something special that you guys are doing to help get that take rate up, which is very nice to see? Thank you.
Elena Gomez: Yes. Thanks, Dan, for the question. Yes, take rate is up 4 basis points year-over-year in Q1. So really, really pleased with the progress that we've made. And it's really a combination of things, Dan. It's not any single one thing. So, think about the pricing initiative that we had in the tail end of 2024, a little bit more of cost optimization, which is just an ongoing focus area, looking at cost per transaction that our team does. And then some product surcharging is starting to see some traction as well. So, it's really a combination of all those. It's not any one single lever, but really pleased with where we're tracking.
Dan Dolev: Great. Well, nice results again. Thanks.
Aman Narang: Thanks Dan.
Operator: Your next question is from the line of Harshita Rawat with Bernstein.
Harshita Rawat: Good morning. Elena, I want to ask about hardware and the impact from tariffs, acknowledging the uncertainty in the dynamic environment. I know you talked about slightly higher hardware expenses for the year. Maybe just talk about, I guess, the sensitivity around the tariff scenarios and also your ability or to pass on some of the costs to your customers? Or do we expect maybe if hardware costs are elevated, maybe slightly higher, longer payback periods? Thank you.
Elena Gomez: Yes. Thanks Harshita. It's a very relevant question, something we've been paying a lot of attention to. So, look, based on the current rules, the incremental costs associated with tariffs are manageable and reflected in the guidance and the outlook I shared today. And at the highest level, we're confident we can navigate this very -- I would call it a very dynamic landscape. And part of that is because over the course of the last couple of years, we've taken steps to diversify our supply chain and really rely less on China. And so as we've done that, that's put us in a position this year where it is a very manageable expense for us. And at the -- we have to be balanced whether or not we consider passing that along to customers. We have to be incredibly balanced in this environment. So, we're going to think about pricing holistically. So, nothing specific on tariffs that I would comment on.
Harshita Rawat: Thanks. And as a follow-up, Elena, just remind us of the location growth algorithm in terms of share from new location adds, existing restaurants, adding new locations, market share churn and now you have the growing new vectors in terms of enterprise, international, food and beverage, retail? Thanks.
Elena Gomez: Yes, I'll start and feel free to. So, at the highest level, the share between new and existing continues to be relatively balanced. And then as you think about our net adds adding on to our platform, core continues to be the primary growth engine, of course. But as we continue to invest in these new TAMs, you'll see that -- they'll begin to contribute more over time and certainly as we get into the back half of the year.
Harshita Rawat: Thanks.
Operator: We will now take our last question from the line of Samad Samana with Jefferies.
Jeremy Sahler: This is Jeremy Sahler on for Samad. Thanks for squeezing me in. The Topgolf win is really interesting, and I think it shows your continued ability to expand the TAM and adapt the platform in new formats. I guess can you talk about what went into that deal? I guess, who do you compete against in nontraditional formats like this? How do you think about maybe the metrics per location? And then lastly, I guess, does it change the way you think about the total TAM, the aggregate of all the formats that you're currently going after?
Aman Narang: Yes. Thanks, Jeremy. Definitely, the team did a phenomenal job excited about this win in Topgolf. In terms of the competition, actually, as you get into the specialized parts of the TAM, what we see a little bit more legacy in terms of what we're competing against these on-premise solutions that we compete against. And I think in terms of the value proposition at Topgolf, it's really -- we're actually powering the food and beverage. We're also powering the retail and the tea times, the whole thing. And so this is like as we're building out the platform, it opens up more and more opportunity. And I think to your point, like that is the strategy on our SMB team is to think hard about what are ways in which we can continue to build out the TAM. I talked in the call about in the script about wineries and membership clubs and non-English native speaking restaurants and so this just fits in there. And in terms of GPV metrics, these are bigger. If you go to Topgolf, you can see these are big locations. I don't know exactly the GPV averages are, but it's a significant footprint, and we're excited to power it.
Jeremy Sahler: Great. That's great color. And then I can squeeze in a quick follow-up. With the understanding, I guess, that you have the data to manage risk related to Toast Capital to Toast itself, I guess, have you seen any change in the creditworthiness of the average restaurant? I think some metrics out there showed like an increased credit stress at restaurants separate from same-store sales. Are you seeing anything like that?
Elena Gomez: No, we're not seeing -- our Toast Capital program is super -- the team is executing quite well. It's very healthy. Originations are healthy. And most importantly, our defaults are in line with our expectations. So, we're not seeing that pattern.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.